Operator: Welcome, and thank you for standing by. At this time, all participant lines have been placed in a listen-only mode. And the floor will be opened for questions following the presentation. [Operator Instructions] Today's conference is being recorded. If you have any objections to this, please disconnect at this time. Now, I would like to turn the call over to your host for today Mr. Whit Kincaid. Sir, you may begin.
Whit Kincaid: Good morning, everyone. Thank you for joining us for Mueller Water Products fourth quarter and fiscal year in 2020 conference call. We issued our press release reporting results of operations for the quarter ended September 30, 2020 yesterday afternoon. A copy of the press release is available on our website muellerwaterproducts.com. Scott Hall, our President and CEO and Martie Zakas, our CFO will be discussing our 2000 fourth quarter and full year results, market conditions and our current outlook for 2021. This morning's call is being recorded and webcast live on the internet. We have also posted slides on our website to accompany today's discussion and to address forward-looking statements and our non-GAAP disclosure requirements. At this time, please refer to Slide 2. This slide identifies non-GAAP financial measures referenced in our press release, on our slides and on this call. It discloses the reasons why we believe that these measures provide useful information to investors. Reconciliations between non-GAAP and GAAP financial measures are included in the supplemental information within our press release and on our website. Slide 3 addresses forward-looking statements made on this call. This slide includes cautionary information identifying important factors that could cause actual results to differ materially from those included in forward-looking statements. Please review Slides 2 and 3 in their entirety. During this call, all references to a specific year or quarter, unless specified otherwise, refer to our fiscal year, which ends on September 30. A replay of this morning's call will be available for 30 days at 1-800-876-9512. The archived webcast and corresponding slides will be available for at least 90 days in the Investor Relations section of our website. In addition, we will furnish a copy of our prepared remarks on Form 8-K later this morning. I'll now turn the call over to Scott.
Scott Hall: Thanks, Whit. Thank you for joining us today. I hope everyone listening to our call is staying safe and healthy. Before turning the call over to Martie to discuss our 2020 fourth quarter and full year results, I'll provide a brief overview of the quarter. But first, I want to thank all of our employees who continue to do an exceptional job operating in an extremely challenging environment resulting from the ongoing pandemic. I am proud of their steadfast commitment to our customers, our suppliers, our communities, and other team members. We continue to improve our procedures to ensure that we maintain high customer service levels and keep our employees safe and healthy. Remain inspired by our team members' sustained efforts during such an unprecedented period in our history. I believe that we will be dealing with the impacts of the pandemic for quite some time. As an essential business, we will maintain focus in operating with enhanced procedures to protect our employees, customers and communities. Our response team has continued to provide leadership and communication throughout this crisis. Most importantly, we will continue to work closely with our customers to provide the products and services needed to manage and maintain our critical water infrastructure. Our financial performance significantly improved sequentially in the fourth quarter with net sales close to the high end of our guidance and adjusted EBITDA above our guidance. These results were due to the strength of our product offerings, our end markets and our improved operational performance. We generated sequential net sales growth at both infrastructure and technologies, resulting from increased repair and replacement activity and the swift recovery in residential construction. Our teams executed well during the fourth quarter, evidenced by increasing adjusted EBITDA, 1.2%, even though our consolidated net sales decreased 2.6%. Our improved operational performance helped deliver 130 basis point increase in gross margin, excluding the Krausz inventory acquisition costs in the prior year quarter. As a result, our adjusted EBITDA margin improved 40 basis points in the fourth quarter. Our focus on increasing cash flow during the quarter enabled us to further strengthen our balance sheet as we ended September with $209 million in cash outstanding. In the third and fourth quarters, we shifted our priorities to enhance our cash flow from operations, while also continuing to invest in the business in anticipation of the markets returning to a more normalized level. We continue to be disciplined and believe that we are in a strong position, entering 2021. We will prioritize investing in our business through new product development, executing our capital investments and making bolt-on acquisitions. Given the improvements we have seen today, we have ended our voluntary suspension on share repurchases that we instituted as a cautionary measure resulting from the pandemic. Going forward, we will continue to return cash to shareholders primarily through our quarterly dividends, which our Board of Directors recently increased by 5%. In summary, we finished 2020 better than we expected, especially given the pandemic. We also witnessed the resiliency of our business, which provides essential products and services for water utilities to do their planned and unplanned repair and replacement work. Despite the challenges, our team stepped up to the task. Importantly, we believe that the lessons learned during this pandemic further reinforce the imperative of our strategic priorities to become an innovative leader in the water infrastructure industry, and position ourselves for sustained long-term growth. I continue to be excited about our transformation, and I'm confident in our ability to adapt and execute in this environment. Later in the call, I will address our key strategies and expectations for 2021. With that, I'll turn the call over to Martie.
Martie Zakas: Thanks Scott and good morning everyone. I hope you and your families continue to be safe and healthy. I will start with our fourth quarter consolidated GAAP and non-GAAP financial results. Then review our segment performance and finish with a discussion of our cash flow and liquidity. During the fourth quarter, we generated consolidated net sales of $265.3 million, which decreased $1.6 million or 0.6% as compared with fourth quarter last year. The decrease was primarily due to reduced shipment volumes related to the pandemic impacting technologies, partially offset by increased volumes and higher pricing at infrastructure. We did see a sequential rebound in our net sales from third quarter with an increase of $36.8 million. Our gross profit this quarter increased $5.1 million or 5.7% to $93.9 million, with a gross margin of 35.4%. Gross Margin increased 210 basis points versus the prior year, primarily due to the Krausz inventory acquisition costs in the prior year quarter, improved manufacturing performance and increased sales and infrastructure. These gross margin benefits were partially offset by the decrease in shipment volumes at technologies and $3.6 million of expenses related to the pandemic. Gross margin increased by 130 basis points excluding $2.3 million of costs associated with the Krausz inventory acquisition costs in the prior year. Selling, general and administrative expenses of $52.1 million in the quarter increased $3.6 million versus the prior year. The increase was primarily due to higher personnel related costs and IT related activities, partially offset by temporary savings related to the pandemic including reduced travel trade shows and events. SG&A as a percent of net sales was 19.6% in the fourth quarter compared to 18.2% in the prior year. Operating income of $40.7 million increased $1.7 million or 4.4% in the fourth quarter compared to $39 million in the prior year. Operating Income includes strategic reorganization and other charges of $1.1 million in the quarter, which are primarily personnel related. Turning now to our consolidated non-GAAP results, adjusted operating income of $41.8 million improved $13.2 million sequentially, and decreased $800,000 or 1.9% as compared with $42.6 million in the prior year quarter. The decrease was primarily due to lower shipment volumes at technologies and $4 million of expenses related to the pandemic, which were partially offset by $3.1 million of temporary SG&A savings, improved manufacturing performance and higher sales infrastructure. Adjusted EBITDA of $57.6 million increased $700,000 or 1.2% leading to an adjusted EBITDA margin of 21.7%, which is 40 basis points better than the prior year. For the full year 2020, adjusted EBITDA was $190.6 million, or 19.8% of net sales. For the quarter we generated adjusted net income per share of $0.17 compared with $0.19 in the prior year. Turning now to segment performance starting with infrastructure, infrastructure net sales of $242.5 million increased 15.5% sequentially and increased 3.3% as compared with the prior year, primarily due to increased shipment volumes and higher pricing. Adjusted operating income of $57 million increased $5.8 million, or 11.3% in the quarter. The increase is primarily due to improved manufacturing performance and increased sales, partially offset by higher cost associated with inflation and $2.9 million of expenses related to the pandemic, excluding the $2.5 million of temporary SG&A savings, which primarily relate to travel, trade shows and conferences. Adjusted EBITDA of $69.8 million increased $6.6 million, or 10.4%, leading to an adjusted EBITDA margin of 28.8% and a conversion margin of 85% in the quarter. Moving on to technologies, technologies net sales of $22.8 million, increased 22.7% sequentially, and decreased 29.2% as compared with the prior year. This decrease was primarily due to lower volumes related to the pandemic, which continues to impact the timing of some leak detection and metering projects and large customer orders for Echologics in the prior year quarter. Adjusted operating loss was $2.5 million, as compared with adjusted operating income of $800,000 in the prior year. This decrease was primarily due to lower shipment volumes and $700,000 of expenses related to the pandemic, excluding $300,000 of temporary SG&A savings, which were partially offset by improved manufacturing performance and lower SG&A expenses. Technologies adjusted EBITDA with a loss of $400,000 as compared with adjusted EBITDA of $2.8 million in the prior year, leading to a decremental margin of 34% in the quarter. Moving on to cash flow, net cash provided by operating activities for the fiscal year ended September 30, 2020, improved $47.8 million to $140.3 million, primarily driven by improvements in inventory management. As a reminder, cash provided by operating activities in the first quarter included the payment associated with Walter Tax settlement, which was $16.6 million net of the tax benefit. We invested $16.5 million in capital expenditures during the fourth quarter, bringing the year-to-date total to $67.7 million as compared with $86.6 million in the prior year. The $18.9 million decrease in capital expenditures for the year was primarily due to the timing of spending for our large capital projects, as we postponed some of the work at our new Brass foundry. Free cash flow for the year improved $66.7 million to $72.6 million as compared with free cash flow of $5.9 million in 2019. At September 30, 2020, we had total debt of $447.6 million in cash and cash equivalents of $208.9 million. We did not have any borrowings under our ABL agreement at year-end, nor did we borrow any amounts under our ABL during the year. At the end of the fourth quarter, our net debt leverage ratio was 1.3 times. As a reminder, we currently have no debt maturities before June 2026. Our 5.5% notes have no financial maintenance covenants. And our ABL agreement is not subject to any financial maintenance covenants unless we exceed the minimum availability thresholds. Based on September 30, 2020 data, we had approximately $133.9 million of excess availability under the ABL agreement, which brings our total liquidity to $342.8 million. In summary, we have a strong balance sheet with ample liquidity. We are well prepared to continue with our capital allocation opportunities, as well as to deal with the ongoing challenges from the pandemic. Scott, back to you.
Scott Hall: Thanks Martie. Let's now discuss our end markets key strategies and expectations for full year 2021. After that, we'll open the call up for questions. Overall our end markets improved sequentially during the fourth quarter. Municipal customers increased their level of activity from the third quarter, prioritizing critical network maintenance and existing infrastructure projects. The level of repair and replacement and project activity continues to vary significantly across the country. Regions experiencing faster population growth and smaller economic headwinds are recovering more quickly. Although we continue to see some delays in the approvals or implementation of new projects, we haven't seen cancellations. We continue to expect that the project related portion of the municipal water market will remain challenged as budgets adjust to the impacts from the pandemic. This will affect the project related areas of our business, principally metering, leak detection and specialty valve products. We remain hopeful that additional federal stimulus efforts will help municipalities get through this challenging period relatively quickly, so they can continue to address their ageing distribution networks. However, we believe that the break-fix portion of municipal treatment collection and distribution budgets will be much more resilient. As a reminder, we estimate that approximately two thirds of our net sales relate to the repair and replacement activities of utilities. The residential construction end market continued to show signs of strength in the fourth quarter, as evidenced by the double-digit increase in housing starts, primarily for single family residences. We believe that residential construction will continue to outperform primarily based on low mortgage rates, relatively low lot inventories and elevated demand levels. Developed lot inventories have remained relatively low since the Great Recession. So given the backdrop, we expect builders to increase their inventories to meet the higher demand. However, the pace of residential construction is highly dependent on a number of factors, including the pandemic, and the seasonality of construction activity, which could restrain some builders heading into the winter months. Regardless of the current external environment, we have made progress on our key strategies to strengthen and grow the business. New product developments and commercialization efforts, especially for our digitally enabled products remain an important part of our strategic priorities. Even with the ongoing challenges, we have some exciting new products in the late stages of the commercialization process. We are looking forward to a number of key launches in 2021. And we'll also continue to add products to the product development funnel. We believe that digital solutions which account for a relatively small amount of utility budgets, will receive greater attention going forward, as the pandemic highlights the need for and motivates utilities to increase investments in network, workforce and asset management. Today, we have several digitally enabled products addressing their needs, and we continue to make progress with our smart hydrant, which is being piloted by customers. Our new product development and commercialization efforts will prioritize digitally enabled products and solutions that focus on addressing utilities most critical problems. We will increasingly incorporate technology into our existing product portfolio to leverage our Centrex software platform and our extensive installed base of infrastructure products. Additionally, we will expand the capabilities of Centrex to allow utilities to identify and prioritize leaks, measure and control network pressures, assess water quality, view metering data, remotely flush water lines, and utilize data analytics to manage their network assets remotely. Given the progress we made this year, especially amidst the pandemic, I have confidence that our teams will deliver on this vision while we navigate the challenging operating environment. We are making significant progress on our multiyear effort to drive operational excellence and modernize our manufacturing facilities. We are committed to improving our culture of execution to become a world class manufacturing organization. Achievement of these priorities will provide a strong foundation for future growth and enable us to generate attractive returns on our capital investments. As we have discussed previously, three transformational projects are expected to account for approximately $130 million of capital spending. Together, we believe they will drive approximately $30 million of annualized incremental gross profit through a combination of efficiency and sales growth. This is after all of the projects are completed and production is fully ramped up. We completed the large foundry expansion in Chattanooga, Tennessee, and are focused on ramping up production this year. The two still underway are the new facility in Kimball, Tennessee, and the new Brass foundry in Decatur, Illinois. As a reminder, we decided to defer the timing of the construction of our Decatur facility to help preserve cash after the declaration of the pandemic. Our fiscal 2021 annual guidance for capital expenditures of $80 million to $90 million is above our long-term target primarily because of two of the large capital projects that I mentioned remain underway. Our annual guidance for 2021 is the same guidance we originally had for 2020 prior to the pandemic. Once the new Brass foundry is complete, which is expected in 2023, we anticipate the capital expenditures as a percentage of consolidated net sales will decrease to less than 4%, further enhancing our free cash flow. I will now discuss our expectations for 2021 in more detail. We are sharing this outlook to provide a framework for how we expect to grow the business this year. Clearly, we remain in a time of unprecedented uncertainty from both national health and economic perspectives, which will impact our performance. The overall level of COVID infections in the communities in which we live and work will be a factor in our ability to increase sales and improve profitability. We believe that continued strong growth in the residential construction end market will help offset any challenges in the project related areas of our business. Our expectations also take into account our current backlog, new product initiatives and channel strategies. This outlook includes the strong bookings we saw at technologies in 2020. The backlog for the metering business is $30 million higher compared with last year, primarily due to new customer wins at Newport News Virginia, in Newport Beach, California. For the full year 2021, we currently anticipate that consolidated net sales will be between flat and 3% higher than the prior year. We saw great variability in our quarterly net sales performance throughout 2020, where we generated strong organic sales growth from the first half of the year prior to the pandemic. For the first quarter of 2021, we expect consolidated net sales to increase versus the prior year resulting from fourth quarter orders and our shippable backlog at the end of September. In the second quarter, we anticipate that the net sales will decrease versus a 10.1% net sales growth in the prior year quarter, which benefited from stocking orders. We anticipate that in our third quarter that sales growth could be the strongest since we are lapping the beginning of the pandemic. For the full year, we expect that adjusted EBITDA will increase between 4% and 7% as compared with the prior year, driven by the anticipated volumes and improved operational execution. Finally, we expect to generate positive free cash flow for the full year without the large working capital benefit we generated in 2020. Our expectations assume that the pandemic's impact does not significantly change from what we experienced in the fourth quarter. We also expect that we will continue to incur some level of expenses associated with the pandemic, which will largely impact our results in the first half of 2021. Most importantly, our focus remains on keeping our employees safe, protecting our communities, delivering exceptional products and support to our customers and generating strong cash flow. Our strategies are supported by our strong balance sheet liquidity and cash flow. We will maintain a balanced approach to capital allocation to strengthen and grow the business through capital investments in bolt-on acquisitions. Additionally, we will continue to return cash to our shareholders primarily through our ongoing quarterly dividends. And we will continue to prioritize flexibility primarily for potential acquisitions. Our teams remain well prepared to face the ongoing uncertainty relating to the pandemic. And I am confident in our ability to adapt and execute any changes in our environment. Before moving to Q&A, I want to briefly discuss our view and approach to sustainability. We recognize the important role that we play in ensuring water is delivered more safely and efficiently than ever before. For many years Mueller Water Products has had an environment health and safety program, including a dedicated board committee to provide oversight, safety and environmental stewardship are top priorities and are included in our annual executive incentive targets. We will further elevate and showcase our sustainability initiatives through our inaugural ESG report to be published in December. We look forward to discussing our key strategies for becoming a leader in sustainability. And with that, operator, please open this call for questions.
Operator: Thank you, sir. At this time, we will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Deane Dray of RBC Capital Markets. Sir, your line is open.
Deane Dray: Thank you. Good morning, everyone.
Scott Hall: Good morning Deane.
Martie Zakas: Good morning.
Deane Dray: Hey, maybe we can start just to confirm the - what's behind the delays in the projects, the delays and the approvals. So I would imagine just getting access and workers out to the facilities and into homes for the meters that's just a COVID delay. So kind of take us through that frame for us how much has been - if you could quantify how much of that has affected the quarter and when might we see those released? And then anything on the approvals, when you said there's delays and approvals, is this just - is there election uncertainty? Is it still COVID? Is there budget constraints? Any further color there would be a big help. Thanks,
Scott Hall: Sure. So I think yes, on the first part, for sure. If you look at the technologies business, $39 million increase in the backlog for the metering business, continued strong bookings in the leak detection business. Really, the fourth quarter performance for us is an access issue. So there's a fairly healthy book of installs for meters, and a fairly healthy book of pipe condition assessment and leak installs for Echo. And so we think that is a timing issue kind of moving between quarters as a result of COVID. For the project business, though, I would say it's really more budgetary related. And you will recall Deane that when I started in 2017, it had just been the election and we saw a pretty good freeze up as there were some economic uncertainty, is there going to be a stimulus package? And I think there was a whole lot of questions around should we spend the money right now, what do receipts look like for us as a utility? And I think you have some of that same dynamic going on right now. I would say the capital budgets are somewhat in flux, as a result of the pandemic, and that uncertainty has led to kind of this. We're not saying no to this project, we know we have to do it. I'm going to push the decision down the road a quarter kind of discussions, when we start talking about stuff that's already been tendered. I think you see some reticence on the part of some of the municipalities to commit to a path right now as they wait to see how palsy election, funding situations, and frankly their own receipts. From our discussions, there is some concern at the at the water utility level that what does the economic crisis look like? And how much of their business are commercial, if you will, water receipts are going to be impacted by an economic downturn? Is it going to be prolonged or not? So I think a lot of those things are kind of getting pushed into their discussion funnel.
Deane Dray: That's helpful. And can you expand on the point regarding the - your dialogue with utilities regarding these new digital offerings, like your smart hydrant, when you presented at our RBC Water Conference in September, that was one of the themes that we heard from the other utilities, that they were now finally beginning to look at these opportunities to both leverage the technology network as a service type applications, and specifically smart hydrants came up. So what's the dialogue now? Is this a - is COVID a turning point because utilities just need this additional technology capability not to send a truck out if possible, but how do those conditions look today to you?
Scott Hall: Yeah, I think COVID has definitely accelerated the adoption of a lot - the digital solutions kind of model. And I think that almost without reservation that utilities feel like for skater, they have good visibility as their pumping stations and their treatment centers. If they are an AMI customer, they have a single data point to kind of out at the end of the network, but the blind spot between the treatment center and the delivery point is the infrastructure and distribution network, whether it be mains or even the smaller six- and eight-inch pipes. They recognize also that their likelihood of getting the workforce to be enlarged over the next 5, 10, 15 years is very, very limited. And so you see that they're going to have the same amount of labor, but they're going to - the nature of work is going to have to change. So instead of dispatching a truck to go flush a hydrant, instead of dispatching a truck to go see and do hunting for leaks or contacting a subcontractor to clean up manholes and all those kinds of things, they realize that they need some level of automation in the network, not because they have any less work, but because of the fact that the infrastructure is ageing, because of the fact that water quality is becoming more important in society. And there's more contaminants and more things like that they need that workforce to do different kind of work. They don't need them finding leaks, they need them fixing leaks. They don't need them flushing hydrants, they need them fixing treatment centers and adjusting chemical levels. So there's a whole bunch of stuff that says the nature of work for the water utility employees has got to change over the next 10 to 15 years. And certainly this has been an accelerator. To answer your question about the smart hydrant and absolutely, I think that you know, if you think of it not as a hydrant, but really as an information collection hub for whatever it is you want to know. And that the number of sensors it could communicate with is only limited by your imagination, then you can see that they see the value at some density of putting these information collection points out in their network so that they can have visibility, whether it be pressure, temperature, turbidity, whatever it is, they want to know, at that point. And so, I think there is a great deal of interest. And as I said in our prepared comments, I'm hopeful that the trials that we have undergoing - have ongoing sorry, give us something to report to you back in a year or so that will give us promise for widespread adoption.
Deane Dray: That's all very helpful. Thank you.
Scott Hall: Thank you, Dean.
Operator: Thank you. Our next question will come from Walter Liptak of Seaport Global. Sir, your line is open.
Walter Liptak: Hi, good morning.
Scott Hall: Good morning.
Walter Liptak: Hey, I wanted to ask one about on the residential side, it seems like there's better activity going on. And you mentioned a lot development. I wonder what kind of visibility you get into residential lot development. Are there projects that you see through your distribution channel or through your sales channel that will provide some visibility into 2021?
Scott Hall: Yeah, I think that you're absolutely right. We get some visibility on some of the developments that are I guess, large enough, for lack of a better word that they get some profile from a home builder, like D. R. Horton or Pulte or something like that. And so yeah, there's a piece of it that's stack, but I think in aggregate residential construction end market continues to show signs of significant strength in Q4. I think the double-digit increase in housing starts in Q4 I think was 11%. Overall, 17% for single family bodes well for us. Because I think that, as you know, we're kind of early in the cycle, the curb and sewer goes in with the hydrants and the water supply, not when the house building permit gets pulled, but several weeks or in some case, months ahead of that. And so we use housing starts as a proxy, to kind of give us the leading or trailing indicator, if you will, of what lot inventories look like and then we scour the home builders that are that have public information out there to look at what their lot development looks like. And given what we've heard, given what we talked about where we are that's why we have this kind of remain bullish throughout certainly the first three quarters of the year, as we think about where interest rates are. Our visibility's though, to answer the question precisely, I would say is mixed. We take the big trends, we know the big projects, we know who the big developments and where those large inventories are going, those big, let's call them neighborhood development projects, but they're often only 40% or 50% of the market. So there is a piece that we don't have visibility to be clear.
Walter Liptak: Okay, are you getting any visibility from the distributors, and any sort of inventory channel build that's maybe uncharacteristic for this time of year?
Scott Hall: Yeah, I think we've seen - we talked about it obviously with our key channel partners and I would say that if you recall our Q3, we were down 17%. And we think the mark was probably down 5%. That's in aggregate that's Muni and Rezi. So there was certainly a piece of the inventory, a large piece of inventory that came out in our Q3. As we look at Q4, and we had a very strong booking quarter, certainly our backlogs grew across the business. A couple of full reasons, one, probably getting some inventory back into level, certainly not to the level it was prior to Q3, but maybe a modest return of inventory in our Q4. And I think there's capacity for the channel to take inventory in the 2021 and beyond, because I think that they took a big slug out in Q3. So I think there is inheritance in that - inheritance in that number for Q4 is a little bit of inventory bill.
Walter Liptak: Okay, got it. Thank you.
Scott Hall: Thank you.
Operator: Thank you. The next question will come from Brent Thielman of DA Davidson. Your line is open, sir.
Brent Thielman: Hey, great. Thank you. Good morning.
Scott Hall: Good morning.
Brent Thielman: Scott, the casting foundry scheduled to be completed, I guess, this year 2020. Are you expecting any incremental growth profit benefits from that coming online, I guess into fiscal 2021? I can't recall that was sort of a smaller portion of getting to that 30 million your talk about?
Scott Hall: Yeah. So if I understood your question, yeah, we are now focused on bringing large bodies and pieces into the large casting foundry in Chattanooga. We've had some I would call them more a drag in the first three months on manufacturing performance, as we go through our PPAP processes. We make tools and we get our let's call them debugging systems done, especially on some of the automation we put in place. And so if you look at our forecast, what's inherent in that assumption, is that the kind of, let's call them the first half inefficiencies associated with PPAPs, associated with the debugging will be offset by improvements in the second half as we start to get the benefit of the incremental volume and start to get the benefit of the incremental absorption. And so it's basically neutral in our 2021, and then start adding manufacturing performance, dollars, margin et cetera in 2022 and then it's fully operational by 2023. They're carrying its own load in that $30 million of incremental gross profit we talk about when we talked about the three capital projects.
Brent Thielman: Got it. Okay, that's great. And then the larger backlog in the call, should that all convert into fiscal 2021? Or is that spread out over a number of years?
Scott Hall: So, no, it shouldn't all convert. I guess once that most people know about the Newport News, I believe is a three year install project, Newport Beach is a three year install project. We have some other projects that are going to go into life. So really strong performance as remote disconnect technology starts to get adopted, excitement around Centrex, we expect that we will continue to be able to have a fairly healthy order book for the meter business, continued acceptance of the leak detection solution, the fact that both will be on a single platform, in Centrex, integration of hydro guard and some other things on the Centrex as well. And so we think we have a fairly compelling growth story coming in the technology segment. But I think it's going to be dependent on kind of, A, rate of adoptions and B, access to manholes and access to enclosed work spaces and access to consumers' homes. So I think the real increase this year is going to be what the shippable backlog in our R&D files and hybrids businesses, which I think we had a really strong booking in our Q4 backlog brewing in valves and hydrants. And it was one thing I didn't say in my prepared comments that I would say now too is around this notion that we had some absenteeism issues in our Q4 as we weren't able to ship everything that we booked as a result of COVID, but all-in-all, I thought the quarter was extremely strong for the manufacturing group given the challenges they had. So on the whole, I feel really good about where the backlog is. I feel really good about where our service levels are going as manufacturing works through it.
Brent Thielman: Sure. Yeah. I guess and maybe a follow up to that would be, it seems like there's certainly some customer deliberation or hesitation the onset of the pandemic, it seems like that's eased up a bit, and I'm speaking specifically to the technology group, I'm wondering if the timing into a decision or an award to you is narrowing a bit at least from where we were several months ago, at the onset of this?
Scott Hall: Yeah, I wouldn't say that the award process has been delayed for the meter business, as much as it's been for the really large capital projects business you think about our specialty valve business, in particular. So these municipalities go out, they hire the consultants, they evaluate the get request for proposals, they enter negotiation, I think that's remained relatively intact. I think what's delayed is even once I've made the decision in the meter business and gaining access to your home or to my home, especially in the early stages of the pandemic. So yeah, I expect that things now that we know how to take safety precautions. We know how to keep people. I still don't think we're going to be doing any basement installs anytime soon. But anything that's curbside, or in a handhold, I think we'll start to see some normalization of that activity as the year goes on.
Brent Thielman: Okay, and then one more for me, we had this very defined kind of internal CapEx plan over the next few years here. And he did talk about a willingness or appetite to look at some bolt-on M&A. I'm just curious if any of those sorts of discussions are starting to perk up on your end?
Scott Hall: Yeah, I mean, we're looking constantly every month, we have process around our M&A pipeline, who's in who's out? Is it actionable? All of those things where do we think? So we have our eyes, obviously, on several companies. And we're disciplined about how we approach it. And I think our track record is that we're disciplined about how much we'll pay. I don't think that we're going to have interest rates at these levels in perpetuity. So I don't allow the team to use discount rates that are assuming that you're going to have access to really cheap that money in perpetuity. So I think that we have strengthened our balance sheet to the point where we could definitely do something and I have the appetite to do something, but we're going to remain disciplined. And that's been our mantra for four years, and it is not going to change.
Brent Thielman: Great. Well, thank you for taking the question.
Scott Hall: Thank you.
Operator: Thank you. Our next question will come from Joseph Giordano of Cowen. Your line is open, sir.
Unidentified Analyst: Yes. Hi, good morning. This is Francis calling in for Joe? Can you maybe put some numbers or a range around municipal budgets expectations for both CapEx and OpEx next year? Any sort of incremental color over that will be helpful?
Scott Hall: Yeah, I think where we ended up is, I think CapEx is going to be down slightly year-over-year. I think OpEx you got to kind of split into two pieces the planned OpEx and the unplanned. We expect the unplanned to continue to grow kind of that five, let's call it 10 even percent rate, but the planned piece probably planned right now for zero to three. And I would say that what's going to happen is because I have a much higher, unplanned budget, I expect that that is going to shrink as time goes on and so we expect kind of flat. I think what's going to happen and has been happening for a while want to be clear with everybody on the call about that is that the unplanned spend, the frequency of pipe breaks, the frequency of pump sees, the frequency of a lot of these things going wrong in especially the post World War II installed, part of the infrastructure is taking more and more dollars from the planned part of the optics budget and moving it into kind of emergency response. Along with the increase in variability in our weather pattern, disasters, whether you go back to Houston spend after the Hurricane Harvey and those kinds of things, they're taking more and more dollars every year. I expect that trend to continue. So know overall I would expect that Muni budgets are going to try to be managed to flat to low single digits as a kind of write out what is going to be a little bit of an economic downturn. And that's kind of a collective view. I don't believe that that's an only a Mueller view of the world. I think if you if you listen to what people are saying out there, there's a great deal of uncertainty. And so people are kind of just holding back, if you will.
Unidentified Analyst: Okay, thanks. That's helpful. And for my follow up, what kind of impact do you expect on the single-family housing market if a vaccine dose comes towards the end of the year?
Scott Hall: That's a great question. I think it's going to continue. I think one of the outcomes of the pandemic, and the reason you almost see a rebalancing, if you will, of the preference for single family over multifamily dwellings, I'm guessing here, there's no causation data. But certainly, it's grown faster since the pandemic started. And I think people now appreciate the idea of having a single family house, a little space of their own, little lawn their own, a little distance from the neighbor not have to worry about hitting elevator buttons, and then grabbing your hand sanitizers, I think there's some underlying trends and demographics going on there that leads me to believe that will have continued strength in the single family dwelling going forward as long as interest rates and economic recovery give reason - give people reason to believe that they can afford it.
Unidentified Analyst: Right, that's very helpful. Thank you.
Scott Hall: Thank you.
Operator: Thank you. [Operator Instructions] And our next question will be from Andrew Buscaglia of Berenberg. Sir, your line is open.
Andrew Buscaglia: Good morning, guys. I wanted to follow up on some of your guidance for next year. In that it I can see that conservatism in the top line based on everything you've said, but on your EBITDA line, can you talk about, I guess what you expect for pricing next year - pricing versus cost? Because I would think that, given the actions you've taken this year, I would think the low end is pretty conservative, and even the high end is achievable or you could exceed it, if pricing seems to be holding up.
Martie Zakas: So yeah, so to start off, as we said, we got a range on net sales from about zero to 3%. As we look at that, I think in terms of pricing, I would say we do expect to continue to benefit from, from pricing into our 2021. I'll give you a reminder that we did have some periods in our 2020, where we had the benefit of a couple of pricing increases and have left that. Additionally, from an inflationary perspective, we had a tailwind on some of our raw material costs in our fiscal 2020. As we look out right now to 2021. We think that we'll be experiencing inflation there. But we'll obviously look to continue to balance that price cost ratio is we look forward. All that said, as you hear from the outlook that we gave, we are expecting improved performance. As we look at our EBITDA as we gave guidance of 4% to 7% increase with that. And certainly, I think, performance, as we look out into 2021, some of the investments that we've made, and the continued focus on operational excellence, we do expect that we'll get some benefit from improved performance as we look out to our 2021 leading to what we expect to be EBITDA growth.
Andrew Buscaglia: And do you expect your typical annual price increase, did you mention that?
Scott Hall: I've always made it a really - we don't talk about price, until we talk to our channel partners and our customers first. And certainly there's a lot of dynamics going on in the market right now from a - the underlying raw material movements that would put some inflationary pressures on there. But we're not going to announce a price increase on an investor call. We'll do that with our channel purpose. But I would say this that whenever we have had an inflationary environment, we have had corresponding price increases through the channel and into the market as a result. And that's been long before I got here. It's been like that since the 80s and 90s.
Andrew Buscaglia: Okay. And I was pleased to see you're talking about a little more ESG in your in your press release and your prepared remarks. Can you just - high level what are your some of the early findings you're starting to talk about more? And maybe how do you stack up against some of your water peers in terms of ESG? Or I think that's one area that Mueller deserves some credit for. And just curious where your initial thoughts are?
Scott Hall: Yeah, thank you, Andrew. I think that we've always been very, very conscious of what the principles of ESG are. And I think I heard our investment base, basically say, yeah, you guys did a great job around getting like TRI or under two in the 1.1 rates, you've always told us that you're measuring things like your greenhouse gas emissions or pounds the landfill and things like that, on the manufacturing side, plus, the actual products trying to find water leaks and conserve precious resources. So we've always done it. And I think that since we went public long before I got here, the Environment Health and Safety Committee of our board has been very, very conscientious around making sure this business and its people understand it's always best to do the right thing in your community, and you'll never ever get any retribution for being safe or for, for keeping our environment clean. With that said, I think our method of disclosing and saying those things, so that it's easy to access for our investors. We've heard that it's not easy enough. And so at Brass, we're going to do our first inaugural, if you will ESG report. And I think that we now understand kind of the framework and we've got in front of us I think, a really, really good first level out there as it relates to governance, social and environmental or environment. And so I think that we are well on our way. With our kind of manufacturing background, you could expect that we have a real employee and in environments focus. But as we learn more, and as we become bigger parts of our community and we continue to increase our employee pool we're definitely picking more up on the social. S o this first one, I would say, will be social, socially, not as heavy as we would expect in the future. I know there's a lot of talk around gender equality, in pay, and things like that. And I would expect that people are free to have those discussions with us, but we don't have all the data yet. And there'll be things we get into in the future. But I am proud of this team. And I am proud of the progress we've made, every year reducing the number of pounds we take to landfill, every year reducing or improving our electricity efficiency, the board investing in the latest technologies. So we don't have any impact on our environment. And it's something that we hold very dear. And so I'm very happy to have that out in December.
Martie Zakas: And just had to add on a couple of things, for a number of years, as you can see, in our proxy, we have incorporated as part of the metrics that we use for incentive compensation, we have had metrics in and around safety and in and around environmental stewardship. So that has been I'd say sort of a fundamental piece of our program for a long time. The other as we talk about technologies, as we talk about looking to integrate more digitally enabled information through our infrastructure products, I think the other piece that you will see in our sustainability report is really talking about how we are ensuring that with a lot of our new products, we are looking to address sustainability issues and opportunities that our customers and others will have in the marketplace as well. So I think that's another piece that we've certainly been talking about a lot here, and we'll highlight it as well, and the report that's coming out.
Andrew Buscaglia: Great, thank you, guys.
Scott Hall: Thank you. Okay, operator, we're almost near the end. And if there are no other questions I would like to finish with, I think was a really good quarter. We had some challenges. As I mentioned in my comments, we had some absenteeism issues as we quarantine our people to make sure we kept the disease out of our plants. We had really good manufacturing performance in spite of that. We saw a really good sequential improvement in our order book activity. We booked some big technology projects. We booked some big infrastructure projects and so all-in-all, I took it as a really, really good quarter and I feel like we have now going into 2021, some momentum. I think we've got some uncertainty as well as a result of the pandemic. But all-in-all, I think that the thing I want to get through to everyone is after you get six months into kind of having your world turned upside down and you kind of look around the Zoom Room, for lack of a better word, and everybody's messed up, and you're managing through a crisis, and you all know, we've been through crisis before for different reasons, you start to get a sense of where the team is. I want to assure you, I have faith, this team is ready to adapt and ready to do what needs to be done in order to look after employees, in order to look after communities, in order to look after customers. And I feel that we will adapt as we go. And we've learned a lot about each other over the last four years. And I expect us to learn even more next year. But I do have faith that we will be able to adapt to deliver the best results that we can as a management team and to deliver clean, safe drinking water to the population who depend on us. So I feel good about the quarter and I just want to make sure everybody understands that. Thank you very much. Operator?
Operator: Thank you, sir. We have no further questions at this time. And we will go ahead and - go ahead sir.
Scott Hall: Hey, we'll just say goodbye. Thank you.
Operator: Thanks everyone for your participation on today's conference call. At this time, all parties may disconnect.